Operator: Thank you for standing by, and welcome to the SOPHiA GENETICS First Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Jennifer Pottage, Head of Investor Relations.
Jennifer Pottage: Good morning, and thank you for joining us on SOPHiA GENETICS Q1 Fiscal 2022 Earnings Call. My name is Jennifer Pottage, and I'm the Head of Investor Relations at SOPHiA. Joining me today are Dr. Jurgi Camblong, our Co-Founder and Chief Executive Officer; and Ross Muken, our Chief Financial Officer. Before we get started, I would like to remind you that management will make statements during the call that are forward-looking within the scope of U.S. federal securities laws. These statements are based on management's current views and assumptions, which are subject to material risks and uncertainties that could cause actual results or events to differ materially from those projected. Additional information regarding these risks and uncertainties are included in the section entitled Cautionary Statement regarding forward-looking statements and Exhibit 99.2 of the report on Form 6-K filed with the SEC. Except as required by law, SOPHiA GENETICS disclaims any intention or obligation to update or revise any forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of its broadcast, May 10, 2022. Please note, both the replay of this call as well as the earnings release and associated slides will be available on our website in the Investors section. And now I'll turn the call over to Jurgi.
Jurgi Camblong: Thank you, Jenn. Good morning, everyone. I'm happy to be here with you today to share the excellent performance SOPHiA delivered during Q1. As announced last month, we reached an incredible milestone. We now have over 1 million genomic profiles analyzed on the SOPHiA DDM platform, further strengthening our position as a leading cloud-native, knowledge sharing platform, connecting thousands of health care professionals worldwide. As one of the founders of SOPHiA, it brings me immense joy to reflect on the progress we have made. We have come a long way since 2011 from just a handful of people in a 10 square meter room with a vision to democratize data-driven medicine. While we're proud of this milestone, we are just getting started. To that end, I want to recognize the SOPHiA employees who continue to fuel our success every day, because without them, know that this would have been possible. It is a privilege to be able to work with such talented individuals who care so deeply about what we are building and share mutual passion for using the power of data analytics and predictive AI to transform the world of health care. On today's call, I will walk through our first quarter business highlights. And following, Ross will review the period's financial results and business outlook. But before I go on, let me remind you of the six key pillars that continue to guide our long-term growth. They are: accelerating the expansion of our network through new customer adoption, increasing utilization within our existing customer base, expanding our menu of offerings, developing key partnerships and collaborations, leveraging our platform to drive further growth with biopharma and excelling operationally within SOPHiA. Now let's begin with the first pillar. We have had the solid starts to 2022 with customer adoption and network expansion. Health care institutions all over the world are continuing to recognize the importance of using data and analytics to drive decision-making more than ever. It builds reiterating that SOPHiA is a leading cloud-native platform of significant global size and scale that enables health care institutions to turn complex raw data into deep insights that can improve patient diagnosis and outcomes. The SOPHiA DDM platform is unmatched in the market and we are the first movers in this unique category of software, which has resonated deeply with the health care industry at large. Furthermore, our platform is optimally designed to support rapid growth and benefit from network effects. As we aggressively onboard more health care and license institutions to the SOPHiA network, more data is generated on the SOPHiA DDM platform, which ultimately leads to richer insights that can be generated and democratized to new institutions, incentivizing them to join our network as well. The platform improves and scales as more data is analyzed, which importantly translates to more patients benefiting from the practice of data-driven medicine over time. We continue to build long-lasting relationship with new customers to increase and diversify the platform's network. Looking at Q1's customer growth and global scale, we added nine net new logos. The strong momentum onboarding new customers globally across North America, Europe, Asia Pacific and Latin America demonstrates our strong execution and the universal nature of our compelling offering. Moving to the next pillar of increasing utilization within our existing customer base, broadening and deepening our existing customer relationship is crucial as customers continue to benefit from the value of the SOPHiA DDM platform, their utilization increases. And how do we know we are providing real value to our customers? This is evidenced by our exceptional net dollar retention rate, which is a percentage of dollars retained across customers. Our annualized net dollar retention rate has exceeded 140% for the past two quarters consecutively, indicating that our customer base has been consistently expanding their business with us. Ross will get more into this later on during the call. Our sales strategy revolves around ensuring that new and existing customers see the full range of use cases that the SOPHiA DDM platform can provide. Cross application consumption is a key to deriving mutual benefits between us and our customers, expanding key customers' wins into transformative long-term business relationships. During the quarter, we saw several exciting expansion deals, one of which was with a key long-standing customer, Moffitt Cancer Center in the U.S. who nearly tripled their consumption. Combined with the additional momentum we have seen across our key customers in the U.S., our North America revenue has nearly doubled. Additionally, we are in the midst of signing an expansion deal with another long-standing customer, Dasa, the largest medical diagnostic company in Latin America. Total recurring platform customers grew to 384 in the first quarter of this year, up from 345 customers in the first quarter of 2021. The total number of platform analysis increased to over 65,000 in the first quarter, up from 53,000 analysis in the first quarter of 2021, representing a growth rate of 23% year-over-year. It is clear consumption trends have continued to be strong despite challenging comparisons from the prior period due to COVID-related impacts. And now on to our third pillar of menu expansion. Nothing is more core to our mission than innovating the platform. We consistently provide users with new content and we are combining and analyzing data in more ways than ever before. Having a robust ecosystem is essential for delivering our platform vision, and we currently have the most exciting product road map in our company's history. Last quarter, we spoke a lot about SOPHiA's newly launching HRD Solution as well as the soon-to-be deployed CarePath. The HRD Solution has already been adopted by an abundance of customers across the globe and is on track to be one of our best application launches in history. With respect to CarePath, we would note this key deployment is still on track for later this year. DEEP-Lung-IV, the observational clinical study that is validating predictive model [Indiscernible] has been progressing well as expected. Three additional sites, including Roswell Park Comprehensive Cancer Center in New York have signed up to participate, bringing the total [Technical Difficulty] sites across seven countries. Nearly 500 patients have already been recruited for the study to date, which is tremendous. We expect to update you on our preliminary findings at ASCO next month during our symposium with GE Healthcare. We hope to see many of you there. Speaking of which, this leads me into SOPHiA's next pillar of developing key partnerships and collaborations. At SOPHiA, we do not work alone. At our core, we are an enabler and a partner, which is indicative of the versatility of our platform. We're achieving momentum with our partners in enabling our shared customer base to interpret complex datasets and generate novel insights. GE Healthcare, for example, has been a fantastic partner to so far. Our partnership has been going extremely well and we continue to see significant commercial traction in joint customer engagement. We are proud of our partnership with them and the trust they have put in our team and SOPHiA DDM platform to help accelerate future growth. We're excited about the opportunity to continue partnering with organizations leading the data transformation of health care as we leverage our combined capabilities to spark innovation. Next, I want to quickly touch on our pillar of strengthening SOPHiA's presence in the biopharma space. We continue to promote our growing menu of offerings, which we believe will uniquely position us. CarePath, for example, is a product we expect to support biopharma to ensure the right patients are selected for clinical trial. We're encouraged by recent discussions, and it is clear that our value proposition to biopharma companies continues to grow with the expanding scale of our multimodal data and continuously improving predictive algorithms. Last quarter we spoke about our partnership with AstraZeneca to expand access of in-house HRD testing across laboratories and institutions around the world. We're excited to collaborate with other biopharma partners regarding our capability to develop and deploy highly impactful solutions with a focus on patients and technology forward approaches. And now on the final key pillar, which is excelling operationally within SOPHiA. One of our core strengths is operating as a unified team in everything that we do. SOPHiA continues to review its organic growth initiatives and M&A pipeline and is focused on opportunities that will enhance the capabilities of our robust platform. Over the longer term, we are confident in our ability to execute a targeted focus on scaling the business to position it well into the future. And with that, I will turn the call over to Ross to get into the numbers. Ross?
Ross Muken: Thank you, Jurgi, and good morning, everyone. Q1 was yet another solid quarter of execution despite a challenging macro backdrop. But before I dive into the results, I would like to remind everyone that it's important to understand that we are not a traditional SaaS software model. SOPHiA employs a consumption-based business model, which means our reported revenue has a direct relationship with the consumption of our platform during the period. Meaning, unlike most SaaS models, we only recognize revenue if a customer uses our platform. For many customers, it takes time until they are at full capacity. And then the consumption-based model gives them the flexibility to consume what they need and want as they ramp up their operations. The obvious benefit of this model is we can grow materially with our customers over time as evidenced by our strong net dollar retention. Furthermore, we also have a very high level of visibility as our contracts tend to contain contractual minimums and our churn remains impressively low. Overall, this should provide heightened confidence in our ability to sustain growth. The start of the year reflected strong consumption trends as Q1 revenue grew 21% year-over-year to $10.9 million despite FX headwinds, which negatively impacted our growth by approximately 850 basis points. Excluding the impact from COVID-related revenues, constant currency revenue growth was approximately 35% for the period. This constant currency performance was strong despite a tough macroeconomic environment compared to the prior year period. From a geographical standpoint, we experienced challenges in our Turkish market where devaluation of the Turkish lira and reimbursement uncertainty resulted in a low single-digit headwind to first quarter growth. On a positive note, our North American business continued to be a standout with revenues in the period nearly doubling relative to the prior year period. We remain incredibly encouraged by our momentum in NorAm and look forward to providing future updates on this important market. As Jurgi mentioned earlier, our net dollar retention remains above 140% on a trailing 12-month basis and it's considered exceptional among top software and cloud peers. The stickiness of our customer base has served as a foundation for us to build upon as our customers continue to expand. Our annualized revenue churn remains approximately 3%. Again, this should provide confidence in the sustainability of the underlying momentum of our business. Platform analysis volumes increased to over 65,000 analyses in the first quarter of 2022 compared to approximately 53,000 analyses in the first quarter of 2021. Analysis volume grew 23% despite modest COVID-related headwinds of approximately 400 basis points. Average revenue per platform customer increased to $92,000 compared to $74,000 for the prior year period. Gross profit in the first quarter of 2022 was $6.7 million, an increase of 19% compared to a gross profit of $5.6 million in the first quarter of 2021. Gross margin was 62% in the first quarter of 2022 compared to 63% in the first quarter of 2021. Adjusted gross margin was 64% for the first quarter of 2022 compared to 63% in the prior year period. Of note, unfavorable movements in exchange rates negatively impacted gross margin by approximately 170 basis points in the quarter. Total operating expenses for the first quarter of 2022 were $31.7 million compared to $19.7 million in the first quarter of 2021 on an IFRS basis. Operating expenses were positively impacted by foreign exchange trends by approximately $1.3 million in the current period. R&D expenses for the first quarter of 2022 were $9.5 million, an increase from $6.2 million in the first quarter of 2021, which underscores our continued investment in technology and product development. As a reminder, the vast majority of our incremental spend here is related to people, primarily engineers and data scientists, and our investments will further expand our multimodal data capabilities versus the competition. Sales and marketing expenses for the first quarter were $7.9 million compared to $4.9 million in the first quarter of 2021. General and administrative expenses for the first quarter were $14.4 million compared to $8.6 million in the first quarter of 2021. Of note, a majority of the increase in expenditures is related to our scale up as a public company. Operating loss in the first quarter of 2022 was $25 million compared to $14.1 million in the first quarter of 2021. Adjusted operating loss in the first quarter of 2022 was $21 million compared to $13.1 million in the first quarter of 2021. Net loss in the first quarter was $25.5 million or $0.40 per share compared to $12.7 million or $0.26 per share in the first quarter of 2021. Adjusted net loss in the first quarter of 2022 was $21.5 million or $0.34 per share compared to $11.7 million or $0.24 per share in the first quarter of 2021. Cash and cash equivalents were approximately $243.5 million as of March 31, 2022. Of note, we continue to be disciplined with respect to our growth investments and have put in place numerous internal initiatives in order to enhance productivity and efficiency with an eye toward maximizing our capital runway without sacrificing long-term growth objectives. We are committed to our shareholders to remain incredibly diligent in the current macro environment with respect to organic and inorganic investments. Before I turn to our outlook, given the global scope of our business, I wanted to highlight the impact that foreign currency exchange rates have on our reported financial results. We are sensitive to fluctuations in key FX rates for currencies we transact in against the U.S. dollar, particularly the euro, Turkish lira and our functional currency, the Swiss franc. To that degree, fluctuations in the euro, lira and franc against the dollar will continue to impact our reported results, including the revenue guidance we provided previously in January. Now turning to our updated view of guidance. The company maintains expectation of 30% to 35% constant currency revenue growth for 2022 remains unchanged. Our prior range representing nominal reported revenue growth of 27% to 33% had contemplated the negative impact on growth from FX of approximately 250 basis points. Based on the current macroeconomic trends, we now face a forecasted headwind to 2022 reported growth related to FX of approximately 600 basis points. At the present, we are still comfortable with the low end of our prior guidance range of $51.5 million to $54 million on a reported basis for 2022. Despite the macroeconomic and FX-related challenges, we remain confident in our business as we continue to see very encouraging trends in our pipeline with respect to NorAm, biopharma and HRD-related opportunities as well as exciting prospects amongst our partner ecosystem. Of note, our underlying revenue visibility remains very high with respect to our existing recurring platform customers that constitute a majority of our revenue. Our vision for SOPHiA's long-term future remains unchanged. We are a disruptive growth company with substantial potential and our results demonstrate high-quality durable growth. SOPHiA is a leader in the sizable yet emerging market of data-driven medicine with the right platform, technology, people and strategic partners to execute our ambitious plans. We are energized by the future more than ever as we start the new SOPHiA fiscal year. This concludes my remarks, so I will now pass it back over to Jurgi.
Jurgi Camblong: Thank you, Ross. We are very pleased with this quarter's performance and remain confident in the business momentum as we build an ever stronger SOPHiA in the remainder of 2022 and beyond. Before I close today's call, I am thrilled to announce that we are taking the first few steps in our ESG journey. At SOPHiA, we place patient care at the heart of all our decisions and our success is deep rooted in our core values and the positive impact we have across all levels of the organization. This is critical to our mission of creating a wider and more sustainable health care system. Our forthcoming impact report will provide a deeper look into SOPHiA's sustainability and performance in key priority areas and is expected to be available later this month on our website. We look forward to continuing to update you more on this front. Additionally, we're so excited to announce that we are hosting our first ever Investor Day in New York City on September 20. We invite the investor community to attend in person to gain a better understanding of SOPHiA and hear the latest news, innovations and long-term opportunities. If you would like to request an invitation, please email ir@sophiagenetics.com. And finally, we look forward to seeing some of you at the JPMorgan Technology, Media and Communications Conference in Boston coming up in a few weeks. Thank you all again for joining us on our earnings call today. And with that, Ross and I are happy to take your questions, and we will turn it back over to the operator. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dan Brennan of Cowen.
Dan Brennan: Maybe just to kick it off, given the macro in Q1, I'd just be interested to see how did the quarter play out when you think about versus your own expectations, kind of what came in maybe better, maybe where it was more challenged. Just kind of maybe walk us through a little bit how things played out given the difficult environment.
Jurgi Camblong: So, indeed, we acknowledge that the macro environment is challenging around the world for everyone. Despite that, I would say that given SOPHiA has a model where we are very much like a software company being paid on consumption, the results have been pretty good and we haven't seen any major surprise. So to give you some color, Dan, the growth has been pretty strong in Northern America where we basically nearly doubled the number of analysis that are being run in the platform. And when it comes to disease areas, we have a consistent and solid growth across these areas, both solid tumor, onco-hematology, hereditary cancer as well as inherited disorders. And I would say maybe one nuance was that HRD capabilities that we launched early this year even grow further than the volumes that grow in the other -- these areas. So all in all, despite, I would say, the current macroeconomic environment, good results on our side, no impact on COVID. And of course, this means and I think your question as well triggers that on how we are making use of our proceeds, right, in terms of further investments, Dan. And as you know, SOPHiA has been always pretty disciplined and diligent in using our proceeds. We don't invest in a lab. We don't invest in CapEx. We are, again, a software business. So we continue to invest diligently on things where we do see future growth, such as the U.S. and the biopharma market, such as a regulated environment where we believe that platforms like SOPHiA will benefit from a more regulated environment where ASP will probably be more favorable than what it is today, such as a word where multimodal capabilities for decision-making will be extremely important. And last but not least, a word where as well, one as a tech player can grow quicker, partnering with players like GE. So on all that front, we are happy with the growth we had this quarter, considering the macro environment, and we are diligent regarding the investments and the expenses we're making.
Ross Muken: And Dan, just to add a fine point. So if you look at it in terms of where revenues landed versus our internal model, we were pretty much spot on on an organic basis for Q1 versus what we were looking for in the forecast. I would say moderate outperformance in HRD, which continues to build, and I think it will be one of our biggest product launches ever. And I would say probably a little bit offset by Turkey, which was marginally worse than we were modeling. Notably, obviously, the lira has collapsed, but also you've seen some reimbursement pressure in Turkey. But I would say aside from that, it's really about FX, right? That's sort of the main delta on a reported basis and obviously not an area where we can at least in the immediate term offset, but we still feel quite good about our ability to even mitigate some of those reported headwinds over the balance of the year.
Dan Brennan: And then maybe, Ross, I wanted to ask you, and you talked about something about the balance sheet and how you're going to be disciplined and things of that nature. Maybe could you just expand on it a bit? Like how do we think about the burn from here? How do we think about like in the future, there's more of a focus with the volatility and the broader sector coming under pressure about companies that could self-finance or extend their runway of cash? How do we think about that aspect for SOPHiA? And how far out do you think your current cash balance will last you?
Jurgi Camblong: I will let Ross give you some color on until when we have sufficient cash with the proceeds of the IPO. But when it comes to the expenses and the investments, again, as a reminder, so we are a software company. So our investments are very much around people, right? And over the last two years, we made, I would say, significant investments in scaling up our teams in terms of tech and science, in terms of regulatory and quality, in terms of finance, legal, and BD. And now we are scaling a little bit in the sales side because of what we experienced in the biopharma space as well as in the U.S. chemical market. So you shouldn't expect from us significantly more investments in the next years because our base infrastructure is already fit for purpose so that we can grow accordingly to our plan. But Ross, maybe you can -- you want to give some more color on the cash side?
Ross Muken: Yes. So as we commented, Dan, last quarter, we obviously feel quite confident on the level of cash burn and the trajectory, allowing us to certainly have visibility into 2024. On that, I would say we have, you know, obviously, given the environment you noted, we have taken a very, I would say, comprehensive look at sort of our investments. The reality is we have so much growth and much of it, again, we play in a much more established market than many of the new emerging players. And so we have quite visibility to a number of these opportunities. And so we'll continue to put investment behind areas where we will earn a very high return on invested capital. But ultimately, to Jurgi's point, if you think about the OpEx base that we've built up today, it could sustain a much larger company, right? And so we're making investments around some of the key initiatives Jurgi talked about. And so I think relative to that, you should expect, right, as revenue ramps at the rates we've talked about historically. And again, our aim is to grow organically in that 40% range year in and year out. I think we can certainly absorb quite a bit of that growth and drop down at pretty attractive incremental margins to be able to sustain, I would say, that cash potentially even longer. We also, I would say, have a number of efficiency initiatives that we're undergoing in the business that through automation and systems and upgrades in certain areas, I think as well could allow for better cash preservation. And so, again, we're not going to change our strategy dramatically in this environment, just given the visible revenue opportunities that we see and what's in our pipeline. But I would say we are being as diligent and prudent with our capital as one can be and are very mindful of sort of the backdrop and making sure we are managing things for our shareholders effectively.
Dan Brennan: Just on North America, since I know that's an area where there's a tremendous amount of opportunity and you're getting some traction. Could you just walk through a little bit more color, anything on -- you mentioned Moffitt, just how do we think about the funnel in North America? What's kind of baked in? How do we think about the contribution this year and kind of what's the upside opportunity as we look over the next kind of couple of years in North America, and I guess, particularly in the U.S.?
Jurgi Camblong: Probably as we went public, indeed, this was one of the questions we will receive from the investment community, right, how our model, which is supporting a decentralized world would be compatible with the U.S. market, which is a bit more centralized. And I think the numbers prove that we are compatible with this model, and we're growing quicker in Northern America than in the other regions. So as you pointed out, Moffitt, indeed, we tripled the consumption at Moffitt on oncohematology over the last quarter. So we are very proud about it. We see as well a great traction with other academic centers such as UCSF. We signed as well some names that we can't disclose, which are not publicly disclosable. And we see a lot of demand now Dan from central labs, like we mentioned last quarter, Ambry Genetics, but we're having more conversations with really Tier 1 labs that are very well known in the U.S., where our menu offering and the fact that our platform is fully scalable, could enable them if you like to enter a new market, such as HRD, but as well operationally be more effective so that they could have better gross margins. So we're optimistic about our Northern American future performance. And to end, I would say that the sales pipeline is greater than ever in Northern America.
Dan Brennan: Maybe I'll sneak one more in. Just on biopharma, you have the asset relationship. I know that's something you've talked about that could become a more material driver broadly, but maybe it's more of a '22 or '23 event given the timetable at which these customers sign on. But just maybe you can just give us an update on what the funnel looks like in biopharma, how much we can expect it to contribute this year? And just what could drive a faster, I guess, inflection in that business?
Jurgi Camblong: So indeed, we mentioned AG. And as you can imagine, this is related as well, to some extent to our HRD capabilities that might go beyond and we will speak about [Indiscernible] to be a lot at ASCO. And I think this should give you a color, Dan, on why we start to be perceived by the biopharma space or industry as a kind of unique partner to be able to leverage on real world, real time data around the world. And I think that DEEP-Lung study as well as the CarePath capabilities that we will show in the future are really enlightening that. As you know, capturing and standardizing data, letting others to produce that, it's very challenging. And so far, SOPHiA has proven to be the only one being able to do that. And I think the pharma starts to be very interested about our position to be able to leverage on those data, pre-approval as well as post approval of [Technical Difficulty].
Ross Muken: And Dan, maybe just one reminder, right? So pharma for us tends to be much larger dollar revenue per customer, right? And so as those relationships ramp, and it's factored in, obviously, to our guidance, that will account for some of the larger step-ups quarter-to-quarter over this year and into '23 than you would traditionally see from SOPHiA from our clinical business. And so just keep in mind, again, some of these deals can be quite sizable. And so those step function changes tend to be bigger than what you would expect from us in the past with much of our clinical business. So just a little piece to remind you there on the modeling side, is it doesn't perfectly correlate with a very nice, steady, predictable growth we've historically had. Again, this is very visible for us, but it's a bit more step function than it is linear.
Operator: Our next question comes from Tejas Savant of Morgan Stanley.
Tejas Savant: Maybe just to follow-up on that vein of thought, Ross, one for you on revenue phasing through the year. Can you just walk us through how you expect the FX dynamic and then some of this large contract phasing, perhaps even beyond AstraZeneca and AMRI to impact your revenue split between the first half of the year and the second half of the year? And then a related follow-up, what exactly are you assuming for the HRD offering? I know you mentioned it's off to a stronger-than-expected start. But would that be sort of upside to the low end of the guide or is that already included in your current outlook?
Ross Muken: So I'll let Jurgi comment on his excitement for the HRD product and its demand on a global basis because I do think certainly there as it ramps, it's going to be a material driver of growth for us in the near to medium term. But as you think about the phasing over the course of the year, obviously, Q1 was noticeably impacted by FX. You'll see a similar or greater impact in Q2 and then that will begin to moderate in the back half. Again, remember in 4Q of last year is when the Turkish lira in particular, collapsed. And so that will provide a fair amount of relief on a reported basis. That being said, to your other comment, we do have a number of these significant contracts coming online over the balance of the year. And we also have quite a robust pipeline of net new business that's starting into what we would call routine when it's generating regular revenue daily. Q2 is going to be certainly a nice step up from Q1, but I would still expect, as I mentioned last quarter, and again, as I had said earlier to Dan's question, our organic forecast, obviously, we reiterated, but Q1 played out essentially as we had expected on that basis. So my comment from last quarter as well that the second half will continue to be a bigger contributor, that still holds true, and we have, I would say, increased visibility on some of those drivers. Maybe Jurgi, do you want to quickly just comment on HRD specifically and your sort of enthusiasm there?
Jurgi Camblong: Yes. I think HRD just has been probably one of our best historical launches. And today, we estimate the total addressable market to over $1 million. So to give you some context, right, we said that our core business grew putting COVID-related volume aside, 27% quarter on -- well, excuse me, year-on-year from Q1 2021 to Q2 2022, 35% at the revenue level. And just to give you some color, HRD, despite was launched only in Q1, grew basically twice faster. So we are very optimistic about our compelling HRD offering. Today, importantly, you're probably aware, right, HRD testing is primarily used for ovarian cancer, but in the future, given the number of clinical trials that are ongoing, people expect this market to be significantly bigger as HRD testing may be used for prostate cancer, breast cancer and pancreatic cancer as well. So a lot of excitement around that launch, Tejas, and I think in the future, you should expect the same type of excitement as we deploy CarePath as well.
Tejas Savant: And then a couple of quick ones on just the macro backdrop here. Can you just walk us through -- I know you mentioned the expansion of the contracts with some of these larger cancer centers and traction with pharma. But as you think about sort of the long tail of the 1c, 2c customers, so to speak, is there any impact there from the inflationary environment or perhaps on budgets, particularly in Europe, just yet? Or are things essentially going along as you expected? And then on the labor side among hospitals or perhaps sort of shortfalls in screening volumes, how do those metrics trend relative to perhaps prior to the pandemic?
Ross Muken: So just to be clear, when we talk about sort of the macro or the level of volatility, for the most part I'm talking about the impact on reported revenue, right, relative to FX. And that's really where, if you look at what happened with the euro, the Swiss franc and with the lira in the quarter, on a reported basis we were challenged. On an organic basis, we're seeing no impact, frankly, from the macro, fortunately, even in Europe. I would say if you look at, again, our net dollar retention, which should be the best sign of the underlying health of the broad business, that 140% is certainly world-class, right? So I think on that end, we feel quite good around the underlying environment. I'd say also we are an entity that tends to provide as a technology enabler, efficiency, savings, improvement to almost all of our customers. And so I would say in that we tend to be almost a help to them in the current backdrop. And certainly, I think finding individuals to operate sequencers, right, in certain parts of the world, maybe at any given time, I don't think this has anything to do with the macro can be challenging. But frankly, given we typically work with Tier 1 academic medical centers all over the world, this is not the area where you're going to see material changes, right, in purchasing or demand. I mean right now, if we look at some of those largest customers, we're going out 3, 4, 5 years on contracts with high levels of visibility at materially upgraded spend at sort of historical levels. And so again, I think it's quite a different business as a software business than many of the other companies within sort of the broader universe, right? And so in that, I would say, our visibility levels again and the duration of our growth tends to be a lot more visible than for most.
Jurgi Camblong: Tejas, if I may just add two things. We are in an industry where volumes will continue to go up, right? There is no doubt that there will be more genomic testing and that combining other data modalities with genomics will become more and more important. And given we are being paid on consumption, that's good for us. And the second point I would add is that because the menu offering we built over time and the scale of our platform, we are almost like irreplaceable now for the big academic centers and even for some central labs. And that's why I think as we disclosed the relationship we're building with Ambry and others are recognizing that now it's better leveraging on our industrial scale technology and platform to work with us and be quicker in the market and there be more savvy in terms of expenses rather than build the solutions by themselves, right? So I would say the more the industry is maturing, the more this is favorable to us.
Tejas Savant: And then one last one on me for margins. Last year, you guys had talked about sort of a benefit from compute costs from some of your cloud providers. As you lap those impacts, I mean, is there anything to be thinking about in terms of the gross margin trajectory through the year? And then to the extent you mentioned sort of people being really your biggest expense, can you walk us through some of the inflationary impacts here and the degree of pricing power that's embedded in your customer contracts?
Ross Muken: Yes. So maybe before Jurgi goes into some of the labor impacts and I can also cover our inflation protection, but ultimately as we think about a number of these elements, I would say we tend to be pretty insulated. And I think on the labor side, you got to think about the fact we operate in a number of different countries like France, where -- and other parts of Europe where inflationary pressures are not quite as dramatic. And so on that, I would say, relative to our operating spend, we've had, I would say, a more favorable mix than others. And so again, on the OpEx side overall, I would say we've been very targeted with where we put investments. We've been very mindful again of the backdrop, but we also do have quite a number of areas that Jurgi called out where there is, I would say, significant opportunity where we either have contract in hand or we've got a pathway to very attractive revenue upside. And so, again, I think, fortunate for us, aside from an reported revenue basis, the impact of currency, the remainder of our -- having a global business has left us a bit more protected than others on that. And you can see in the OpEx side where we had a $1.3 million benefit from FX. Now quickly on the gross margin side, the good thing about the cloud is it doesn't -- it's not like cost just starts going down, right? So it follows Moore's Law. And so every year, there are new things we can do to continue to drive expansion, right? And so we made some investments last year. We've got an entire now road map of investments for this year into next year. We did, again, in Q1 experienced a bit of FX headwind on the gross margin side, and there's not a lot we can do there to offset that. But ultimately, on an underlying basis, we feel quite good about the trend, and we still feel quite confident in our ability long term to get to that 70-plus trajectory, which I think, again, given our business mix and having the level of software we have is quite healthy.
Jurgi Camblong: Yes, Tejas, regarding your question regarding the inflation on labor cost, you're right. Details matter, right? And when we have been growing SOPHiA, we kind of made it in purpose to strategically build our data sales teams in Switzerland and build our tech teams in France, where we are quite uniquely positioned, if you like, where we have less competitors who can recruit those talents and where we can grow those talents as they are for SOPHiA. And aside that, the other element I would add is that -- and I think this is clear from our numbers, right? Over the last 18 months, we have invested quite intensively on the human capital side because we had projects, because we were moving to new partnerships, because we are building CarePath, because we wanted to move into having our platform compatible with a regulated environment and to reflect now this human capital infrastructure is there. And so again, you shouldn't expect any big impact in terms of the number of employees we should add into the company, neither in terms of the cost of the labor.
Operator: Our next question comes from Julia Chen of JPMorgan.
Julia Chen: So I wanted to follow up on the U.S. expansion. Obviously, you guys have shown very strong progress and you highlighted the volume ramp this year at core lab. I'm just wondering if you can talk a little more about the pipeline of additional customers, especially across central labs versus academic? And how much further acceleration do you expect to drive, especially with the menu expansion year?
Jurgi Camblong: So indeed, we are very pleased, I would say, with the adoption we're seeing in the U.S. Volume almost doubled year-on-year, if we compare Q1 2021 to Q1 2022, which highlights the fact that we are really compatible with the U.S. market. Obviously, we have demonstrated to be compatible with the academic centers such as UCSF or Moffitt, where our business is still growing. As I was mentioning to Dan on Moffitt, our consumption has tripled basically or the consumption of Moffitt on our platform has tripled. But beyond that, as you referred to the central labs, which are gathering a lot of samples in the U.S., we do have intense conversations now. We talked about Ambry. And in the next months, you should expect us to speak about other Tier 1 central labs with whom we are elaborating basically development plans and deployment plans. HRD being definitively core to that, but it should be beyond. So very optimistic today with what we see. We need to still be diligent, work hard, be close to the customers and continue, I would say, as well to build our team, our sales team, Julia, accordingly to the U.S. specificities. And this is where our subject matter experts are so important to be able to build the right trust as well as accelerate, if you like, the launch of any application into the central labs.
Ross Muken: And I would say just as a follow-up, when we sort of started to communicate around our strategy in North America, I think the theme of decentralization was sort of at the heart of it. And I think there was a lot of questions around how we would penetrate some of the more centralized elements in the U.S. And I would say pretty confidently now, if you look at our pipeline and you look at some of the announcements we hope to make over the back half of the year and into 2023, we feel quite good about that thesis, evolving to not just be decentralization, but actually powering up some of the top specialty and central labs in the U.S. It's probably where a majority of our activity in the pipeline is right now just on a dollar basis in North America. And I would say that's only grown over the last quarter or two. And again, if you think about some of the comments that Tejas made around labor pressure and other margin pressures, one of the easy ways to get gross margin savings is to move to SOPHiA, right, on the bioinformatics side. I would say as well, if you think about many of the other entities that have very narrow pipelines or menus, the ability to add menu quickly in their NGS lab with SOPHiA and power up again a bunch of new capabilities, it's quite unique, right? And so far, I think the current environment where a lot of these entities are evolving and competition remains high and interest remains high in new technology, our value prop is super compelling. And I think also the question and a lot of entities wanted to get into the data business, right, or wanted to be players from a technology standpoint. And the reality is on their own from where they start, it's very hard, right? And so that's the other places we can help again power up their data strategy and they don't have to build it themselves. They can build it on our backbone, which, again, if you look at the technology sector as a hallmark.
Julia Chen: And then on CarePath, that's launching later this year, could you maybe help us think about the revenue ramp and how much long-term potential it can generate?
Jurgi Camblong: I think the plan is already demonstrating the value of platform players supporting if like a decentralized world, to be able to capture real-time and real-world data to help obviously patients but eventually as well as serve as a platform for the biopharma industry. And so this is why we're so excited on presenting this outcome or the initial results of the study in ASCO. We started the study, just as a reminder, in January this year. Since then we have been able to have 19 sites across seven countries that signed us. Already 17, 1-7, of these sites are being activated. We've already been able to follow 500 patients. And so the momentum is definitively strong. When it comes to how economically we are going to leverage on that, we will see. I think we have a variety of options. It could be leveraging on the data, it could be leveraging on the model. It could be leveraging as an infrastructure with the pharma. And I would say, you will hear about these things as we deploy these capabilities in the future.
Ross Muken: Yes. So just specifically, obviously, nothing included in the '22 forecast related to CarePath, and to the degree, post launch, it becomes material. And we have a better sense of sort of the pipeline building. Right now, we're obviously engaging with quite a number of institutions, but it's obviously too early to give you any formal view on the trajectory. But certainly, relative to Jurgi's comments, we're quite excited about the multitude of ways we'll be able to monetize this move, and it's a pretty material, I would say, upgrade in the business strategy for us moving again just from an insight player to a true data player, which is, I think, on a long-term basis in terms of our positioning, a very compelling proposition.
Julia Chen: And just a clarification since you have two fronts on the multi-model front, how does CarePath overlap or differentiated versus the multi-model CarePath that you're also codeveloping with GE?
Jurgi Camblong: So we see what we are doing is basically leveraging on our platform and on our CarePath capabilities, but that were genomics capabilities, to break data silos, not only across institutions, but across modalities, right? You may remember that GE has a software solution that runs data locally into the hospitals close to the MRI and to the CT scans called Edison. And so what we are doing basically is that we are putting CarePath and SOPHiA DDM on top of Edison to be able to combine the genomics and clinical data that we already today computing real-time, real world every month around the world in SOPHiA DDM with the data, the imaging data that are being produced locally, right? And so these are things that we're going to present together with GE at the symposium at ASCO. And hopefully, as we present, you will see the power of this partnership and this multimodal capabilities in CarePath.
Operator: [Operator Instructions] Our next question comes from Mark Massaro of BTIG.
Unidentified Analyst: This is Vivian on for Mark. So how should we think about ASP trending with the potential ramp of some newer high-value product adds to your portfolio. I think you have previously talked about mid-single-digit range growth. So just any color you could give there?
Jurgi Camblong: So as you may remember, we have different levers to grow as a tech player. So first, we land in a customer, and so then we can grow because of the volumes going up, because of the ASP going up or because of that customer adding new capabilities to its, let's say, lab capabilities using our platform. And so in that sense, having a complete menu offering in a platform like SOPHiA DDM to accompany customers for their multiple applications is something very important. And this is where, over time, SOPHiA been building this menu, and hence, the reason why we are unique, and we are growing with customers such as Moffitt on volume basis as they may increase their volumes, but as well as new capabilities. When it comes to the precise numbers, I will let Ross answer to you.
Ross Muken: Yes. So if you think again about the commentary we made historically, we're aiming for price as a lever in the, let's say, 3% to 5% range for the business. Now obviously on a reported level this quarter, you had a lot of noise from FX. So you don't really get to see that. But ultimately, given again the unique positioning we have in market, that's typically where we will aim for relative to that driver. Now I will also just say to the degree we're able to get a material increase in volume with the customer, we can be flexible on price at big scale, right? And so I would not always expect that level of ASP improvement probably on a net new basis, but more so on legacy stable business as we think about sort of two steps for SOPHiA, sort of our recurring revenue, which is our core base where we talk to you about the net dollar retention, where we've got very high level of visibility and we keep growing that base over time. And then you've got the incremental new business coming on to the platform every year. And that's where, again, you may see slightly different dynamics in those two buckets dependent on the solution and dependent on the size of that customer.
Jurgi Camblong: Maybe to conclude, Vivian, the main growth comes from application that we're already covering in the platform, right? So you should think about the new applications as being primarily driving business forward looking from end of 2022 and 2023.
Unidentified Analyst: And just a quick follow-up. Are you able to give a flavor for your current customer base in terms of academic centers versus large hospitals and biopharma? And for your funnel, how you're prioritizing pursuing these different types of partnerships?
Jurgi Camblong: So we don't disclose the specific numbers per segment. But this gives me the opportunity indeed to highlight some numbers. So from Q1 2021 to Q1 2022, we grew the number of platform customers who are using the platform day-in-day out from 345 to 384. So demonstrating again that we grew because of our customers having more volume, because of our customers adopting new applications, coming back to your previous question, but as well because of having our network expanding in terms of size. And I'm pretty proud to say that year-on-year comparing Q1 2021 to Q1 2022, all numbers are going up, 340 to 385, 84 active customers in the platform, 53,000 analyses back to Q1 2021, 65,000 analyses in the platform in Q1 2022. And coming back to the ASP, which kind of is being reflected as well in the average revenue per user, we grew as well the average revenue per user from $74,000 in Q1 2021 to $92,000 in Q1 2022. Now coming back to some of the points that Ross made, indeed in Northern America we do see more and more activity with the central labs. And so while we won't disclose how much we do with central labs and with the academic centers, the tendency is that you should expect us to do more and more with central labs.
Operator: Thank you. At this time, I'd like to turn the call back over to Dr. Jurgi Camblong for our closing remarks. Sir?
Jurgi Camblong: So, thank you all for joining us today. It was an exciting earnings call for us. We're very proud of what our team has been able to achieve in our Q1 performance, and we hope to see you all soon in our Investor Day in New York in September. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.